Operator: Good afternoon. And welcome to our Third Quarter '19/'20 conference call. I am Kristian Villumsen, CEO of Coloplast, and I'm joined by CFO, Anders Lonning-Skovgaard and our Investor Relations team. We'll start with a short presentation by Anders and myself and then open up for questions. I'd like to start by thanking all of our employees at Coloplast who serve users and our clinician partners every day during these challenging times of a global pandemic. As a company, our priorities during COVID have remained clear to keep our people safe, continue to serve our customers; and maintain business operations. We've done this throughout the COVID-19 pandemic, and I'm very pleased with that. Please turn to slide 3. Before I dive into today's results, I'd like to zoom out and talk about the next five years for a minute. We're currently in the process of finalizing our 2025 strategy, which will be launched at our Capital Markets Day at the end of September. And at the core of the new strategy are two important themes: innovation and growth. To set ourselves up to deliver our 2025 strategy, we are expanding our executive leadership team from four to six members. First, we are creating a new Executive Vice President of Innovation position with responsibility for our commercial offering. The new innovation function will combine global marketing, global R&D, payers and trade; and select other functions related to innovation to secure a singular and end-to-end responsibility for our innovation. Nicolai Buhl Andersen will step in to this role as EVP Innovation. Since joining Coloplast in 2005, Nicolai has held various senior management roles in our company, including Head of Ostomy Care and Head of sales in the Nordic region and for the last 10 years, Nicolai has been the Senior Vice President of our Global Wound and Skin Care Organization. He's a respected people leader with strong follower ship. Also Nicolai is a commercial leader with ability to focus and simplify, which is crucial in defining, building and delivering our commercial offering. And with this change, I'm elevating a fundamental organizing principle of our company which is that innovation must be commercially defined led and delivered. [Aspus Henneman] will take over the role as Senior Vice President of the Wound & Skin Care business and report to Paul Marcun. [Indiscernible] has been with the company for 15 years and is currently SVP Global Marketing for Chronic Care. The second change we're making is to create a new Executive Vice President of Growth which combines the Chronic Care Sales Organization and the Wound and Skin Care business unit. The growth function will be led by Paul Marcun who is a recognized sales leader, both energetic and passionate executive who can lead and empower our organization to take a frontline work to the next level. The third change we're making is to rename HR to People and Culture and elevate this function to the executive leadership team. Camilla Møhl is appointed Senior Vice President, People & Culture and member of the Executive Leadership Team. Since joining Coloplast in 2016, Camilla has been Vice President of Global HR for our commercial organization and 2019 she was promoted to Vice President of Global HR. Prior to joining Coloplast; Camilla worked more than 15 years within HR at large international companies such as Carlsberg and Mars. Camilla is a recognized HR leader who challenges the status quo and she's built strong followership and made a significant impact since joining our company four years ago. Finally, a few words on Interventional Urology; as communicated last year, we firmly believe that interventional urology belongs with Coloplast and as part of our 2025 strategy, we will be investing to grow our interventional urology business to help more people in this space. We believe the best organizational setup for interventional urology is to maintain the current dedicated structure led by Steve Blum, who will continue to report to me. I'm excited to launch our 2025 strategy at the end of September with a strong focus on innovation and growth. Our new executive leadership team and organizational setup is the first step. Structure must follow strategy. I'm looking forward to sharing a plan with you on September 29th and for you to meet the new executive leadership team either virtually or here in person at headquarters in Humlebaek. Now with that let's take a look at today's results. Please turn to slide 4. Q3 was a quarter that posed significant challenges due to the COVID-19 outbreak as we'd expected, but there were also positives. We delivered negative 2% organic growth in the quarter due to a significant decline in interventional urology revenues, the reversal of stock building in Europe, which took place in the second quarter, as well as weaker growth in a Wound and Skin Care business due to a decline in overall hospital activity. Starting with Interventional Urology; I'm encouraged by the rate at which elective procedures resumed across the U.S and most European markets during the third quarter. More specifically April was down 70%, May was down 45%, and June saw a big improvement and was down only 3%. In July and so far in August trends are stable and IU for August is going to come back to growth. Despite the surge in COVID-19 cases in a number of key revenue states, we've seen a faster than expected recovery in our men's and women's health business in the US that now rules out the worst case scenario that we envisaged when we revised guidance in March. Importantly with the consistent monthly improvement in sales trends in intervention urology we have reinitiated commercial investments into the business that were temporarily postponed. Moving to our chronic businesses both Ostomy and Continence Care delivered 4% organic growth in the quarter. Let me remind you that these businesses delivered abnormally high growth rates in Q2 due to the stock building by primarily end users in Europe. The magnitude of the stock build in Q2 was around DKK 150 million and the majority reversed in Q3 and is now expected to be fully reversed in Q4. The underlying growth in the two businesses remains resilient, and I'm particularly pleased that the U.S delivered solid double-digit growth and that the Chinese Ostomy business returned to growth in May and emerging markets also continue to hold up well. In the UK, due to the extended lockdown and measures put in place by the NHS to handle the COVID-19 crisis, there's been a significant decline in screening, referrals and operations. We've seen a decline in new patients across all our markets due to COVID-19, but it's been more pronounced in the UK, both ostomy and Continence Care. In April and May, new patients discharge was around 60% of pre-COVID levels. June and July improved but was still well below normal levels. This had a negative impact on our growth in the UK in Q3 that will also be visible in Q4 and into next year. The Wound and Skin Care business delivered negative 6% growth. China had another tough quarter as expected due to a significant decline in wound care procedures and hospital sales following the COVID-19 outbreak. We also saw headwinds in our European hospital business in particular in France. Our Skin Care business in the US detracted from growth in the quarter due to a decline in demand, which was correlated with a decline in hospital admissions in the U.S. On a positive note, momentum in the European wound care business and the U.S skin has improved in Q4. We've also moved ahead with the launch of our new Wound Care Dressing Biatain fiber in six markets and the feedback from healthcare professionals and users is very positive. As we navigate the crisis, we're adapting our business and commercial activities; many of our markets, our sales force are still working from home and as a result we're accelerating our digital investments. We continue to build stronger capabilities in virtual education, remote support and digital sales. In our direct businesses, we can see that consumers are shifting to online faster than before, and we are investing to support that. Adapting also requires prudent cost management and today's results reflect strict cost measures that have been put in place. Our aspiration is to emerge stronger from this crisis and continue to focus on our strategic objectives. We're therefore, moving ahead with the clear majority of our investments into innovation and commercial activities and initiatives.  On March 18, we issued revised financial guidance because of the COVID-19 outbreak. And today, we've narrowed our guidance to the lower end of organic growth and the upper end of margin guidance. Anders will go through the financial outlook in our assumptions in more detail later on. Now let's have a closer look at the results by business area and geography. Please turn to slide 5. In Ostomy Care, organic growth was 8% for the first nine months and growth in DKK was 7%. In Q3, organic growth was 4% and growth in DKK was 2%. From a product perspective growth continues to be driven by our Sensura Mio and Brava supporting products in larger markets like the UK, US and Germany. Sensura Mio Convex continues to be the main contributor to growth driven by Europe and the U.S. Our Sensura and Assura portfolio growth was driven by solid performance in markets like Brazil and Argentina, as well as tender deliveries in Russia. Overall emerging markets delivered solid growth for the first nine months. China contributed to growth despite being adversely impacted by the COVID-19 outbreak in the second quarter. From a regional perspective, the U.S had a solid quarter and even with our sales force still grounded; we're beginning to secure accounts within the premier GPO. The first conversions are happening and we built a strong pipeline of opportunities. Revenue growth in China normalized in Q3 as expected and Q3 saw a large negative impact from destocking as I explained earlier. Growth in France was negatively impacted by the French price reform introduced in July last year. In Continence Care, organic growth was 7% for the first nine months and growth in DKK was likewise 7%. In Q3, organic growth was 4% and growth in DKK was 2%. From a product perspective, the SpeediCath ready-to-use and Emittant catheters continue to drive growth. SpeediCath Flex contributed positively to growth especially in the U.S and across the European markets. SpeediCath Compact catheters continue to drive growth in countries like the UK and France and sales growth for Peristeen products remains satisfactory driven by France, the US and the UK. From a regional perspective, the US was the main contributor to growth in Q3. Tender deliveries in Saudi Arabia also contributed to growth. As mentioned earlier, de-stocking in Europe had a significant negative impact on growth in the quarter and France was negatively impacted by the price reform introduced in July last year. We've seen a decline in new patience in Ostomy and Continence care as a result of the COVID-19 outbreak. Broadly speaking across markets surgeries and procedures has picked up again, and in our key markets new patient levels are normalizing. We can also see this in our care enrollments. Given that the decline in new patients is expected to be temporary and given that new patients account for around 10% of revenues in Ostomy care and around 5% in Continence care, we do not expect this to significantly impact growth rates going forward. In the UK; however, as explained earlier, the decline in new patients has been more pronounced leading to a negative impact on growth in Q3 and Q4 will also be impacted. In Interventional Urology, organic growth was negative 10% for the first nine months and growth in DKK was down 8%. In Q3, organic growth was negative 40% and growth in DKK was down 39%. The negative growth was mainly due to the decline in sales of Titan Penile Implants and Altis Single Incision Slings due to the cancellation of elective surgeries in the US within men's and women's health. Elective procedures in the European business were also negatively impacted resulting in lower sales of disposable surgical products. As outlined earlier, elective procedures restarted across the quarter at an encouraging pace. In Wound and Skin Care, organic growth for the first nine months was 2% and growth in DKK was likewise 2%. Organic growth for wound care and isolation was negative 1%. In Q3, Wound and Skin Care delivered negative 6% organic growth and would care in isolation delivered negative 7% organic growth. The negative growth was driven by a significant decline in wound care procedures in hospital sales in China in Q2 and in Q3 due to the COVID-19 outbreak. In Q3, growth was also negatively impacted by declining activity in the hospital channel in Europe and in particular in France. From a country perspective, the US and Germany contributed positively to growth in the first nine months. China, France and the U.S skin care business detracted meaningfully from growth in Q3due to COVID-19 as previously explained. The compete contract manufacturing business continued to contribute to growth in the first nine months but was impacted by lower demand in Q3 due to COVID-19.  Turning to our geographical segments; we saw organic growth of 3% for the first nine months in our European markets. The organic growth in Q3 was negative 4%. As described earlier, stock building in Europe had a significant positive impact on growth in Q2 but the positive impact was largely reversed in Q3. Interventional Urology business in Europe was negatively impacted by the cancellation of elective procedures. And during the quarter, elective procedure resumed across a number of European markets. The wound care business posted negative growth in the quarter due to a decline in hospital procedures, which was most evident in France. Organic revenue growth in other developed markets was 5% for the first nine months. In Q3, the organic growth was negative 6%. As outlined earlier, the Interventional Urology business had a very tough quarter but was encouraged by the improved momentum across the quarter. The skin care business also detracted from growth in the quarter but momentum is improving in Q4. On a positive note, the chronic care business in the U.S delivered solid double-digit growth in the quarter and Japan and Australia also contributed to growth. Revenue in emerging markets grew organically by 11% for the first nine months and in Q3, organic growth came in at 9%. China posted growth in Ostomy care again after a tough Q2 due to COVID-19. The Chinese wound care business continued to weigh on growth in Q3. Outside of China, emerging markets continues to deliver solid growth driven by all regions and in particular Latin America. Growth in Q3 was negatively impacted by a tough baseline in Russia due to strong tender activity last year. With this I'll now hand over to Anders who will take you through the financials and outlook in more detail. May I ask you to turn to slide 6?
Anders Skovgaard: Thank you, Kristian and good afternoon everyone. Reported revenue for the first nine months increased by 5% compared to the same period last year; most of the growth was driven by organic growth which contributed 5% to reported revenue. The net effect from exchange rates developments was neutral. A positive effect from a favorable development in the US dollar and British pound against the Danish krone was offset by a significant decrease in the value of the Argentinean peso and Brazilian real against the Danish krone.  Please turn to slide 7. Gross profit was up by 5% to around DKK 9.5 billion. This equals a gross margin of 68% against 67% last year. The gross margin was positively impacted by operating leverage driven by revenue growth, as well as savings from the GOP4 program including the closure of the Thisted factory in Denmark in 2019. The gross margin was also positively impacted by restructuring cost of DKK 43 million in the comparison period last year. The gross margin was negatively impacted by product mix due to the decline in the U.S sales in intervention urology, increasing cost in Hungary due to salary inflation and labor shortages also weighed on the gross margin. There was a further negative impact on the gross margin from extraordinary costs related to the COVID-19 outbreak. The gross margin includes a positive impact from currencies of around 50 basis points. The distribution to sales ratio for the first nine months came in at 29% on par with last year. The 3% increase reflects increased investments in sales and marketing activities across multiple markets and business areas. For example in China, the U.S and the UK. The impact from these investments was offset by lower travel and sales and marketing expenses due to the COVID-19 situation. In Q3, distribution costs decreased by 8% compared to last year, reflecting strong cost control as well as sustained investments. The admin to sales ratio for the first nine months came in at 4% of sales on par with last year. In Q3, admin expenses increased by 12% due to phasing of expenditures. The R&D to sales ratio came in at 4% of sales in line with last year. Overall, this resulted in an increase in operating profit of 7% for the first nine months corresponding to an EBIT margin of 31% on par with last year. EBIT margin contains a positive impact from currencies of 40 basis points. The EBIT margin was positively impacted by cost saving initiatives and lower spending following the COVID-19 outbreak. Please turn to slide 8. Operating cash flow for the first nine months amounted to around DKK 3.1 billion compared with around DKK 2.6 billion last year and includes a positive impact of DKK 144 million related to a reclassification of lease payments following the adoption of IFRS-16. The positive development in cash flows was mainly due to an increase in operating profit of DKK 305 million. Cash flow from investing activities was impacted by investments in automization, IT and the new factory in Costa Rica. CapEx investments are amounted to DKK 690 million for the first nine months, up DKK 276 million compared to last year. As a result, CapEx accounted for 5% of revenues compared to 3% at last year. As a result, the free cash flow for the first nine months was an inflow of DKK 2.4 billion against DKK 2.2 billion last year. Adjusted for the DKK 144 million positive impacts from the IFRS-16, the free cash flow was up 3%. Our cash conversion in Q3 calculated as 12-month trading average was 96%. Due to the COVID-19 outbreak, I continued to monitor trade receivables closely. We also continued to pay smaller suppliers earlier. In Q2, a new share buyback program was launched totaling DKK 500 million and is expected to be completed shortly. Please turn to slide 9, on March 18th; Coloplast issued revised guidance for the financial year 2019/20 due to the COVID-19 situation. With one quarter left of the financial year, Coloplast guidance is now narrowed. For we 2019/20, expect organic growth of around 4% from previously 4% to 6% due to a weaker outlook for the Wound and Skin Care business and the UK Chronic care business. Due to the depreciation of the US dollar, Brazilian real and the Argentinean peso against the Danish krone reported growth in Danish Krone is expected to be 3% to 4% from previously 4% to 6%. The currency impact is based on spot rates as of August 14.  The organic growth guidance is based on the four key assumptions. The first assumption is that after a significant negative impact in Q3, the situation intervention urology is expected to gradually normalize in Q4. The situation improved throughout Q3 at a pace that implies that our worst case scenario is now out of scope. The second assumption is that Q4 will see lower growth in the UK Chronic Care business driven by a decline in new patients due to COVID-19. Due to the COVID-19 and the extended lockdown in the UK, there has been a significant decline in screening, referrals and operations. This has resulted in a decline in PDs in both Ostomy and Continence care. The third assumption is that our Wound and Skin Care including our contract manufacturing business in Europe and the US will post a weaker growth in the second half of the year than previously anticipated due to a decline in hospital procedures. The situation in China in wound care is still expected to normalize by the end of Q4. The final assumption is a stable supply and distribution of our products across the company. Our guidance also assumes an annual price pressure of up to minus one percentage point. Price pressure will be closer to the full one percentage point for 2019 due to the French price reform within Ostomy care and Continence care which was implemented in July 2019. The full year impact of the French price reform was around DKK 100 million. You're also seeing price pressure from smaller reforms in Switzerland and Holland. With respect to the phasing of tenders in emerging markets, the first six months saw a good contribution to growth from tender deliveries into Russia. Last year, the Russian tenders fell in the second half of the year which means that we will have a tougher comparison period in the second half of this year due to Russia. Overall, in terms of phasing of growth in Q3 and Q4, the impact of COVID-19 on sales was the most severe in the third quarter due to the intervention urology. And we expect improving momentum into the fourth quarter. For 2019/20, we expect an EBIT margin of around 31% in constant currencies from previously 32% to 31%. More specifically, we expect to be in the upper end of around 31%. The reported margin in Danish krone is expected to be around 31% from previously 32% to 31%. The reported margin in Danish kroner is positively impacted by the Hungarian forint. But this is offset by the depreciation of the US dollar, Brazilian real and the Argentinean peso against the Danish krone. As a result of the COVID-19 outbreak, we have exercised strong cost control and we have also seen a natural reduction in cost due to lower travel cost and sales and marketing spend. To ensure that we emerge strongly from the crisis, we continue to invest for growth and invest up 2% of sales in incremental investments into innovation and sales and marketing initiatives. Overall for the year, I still expect SG&A cost and R&D expenditures to increase by low single digit percentages. Year-to-date, the increase was 3%. The grass margin will be positively impacted by operating leverage and the global operations plan four which is on track to deliver 100 basis points EBIT margin improvement in 2019/20. The positive impact is expected to be partly offset by product mix due to the decline in U.S sales intervention urology and cost pressure in Hungary from wage inflation and labor shortages. Additional cost due to the COVID-19 outbreak will also weigh on the margin. You will not incur any restructuring cost in 2019/20 compared to DKK 43 million in 2018/19. Overall, the expectation is still that the gross margin for 2019/20 will be in line with 2018/19 factoring in a positive impact from currency. We now expect our net finances to end the financial year 2019/20 at minus DKK 350 million from previously minus DKK 200 million. This is primarily due to further losses on balance sheet items denominated in a number of foreign occurrences, including the Brazilian real and the Argentinean peso that had depreciated significantly. In addition, we expect hedging losses on the US dollar and British pound against Danish krone as a result of the appreciation of both currencies against Danish krone. CapEx guidance for 2019/20 is still expected to be around DKK 950 million and is driven by investments in more capacity for new and existing products, as well as the factory expansion in Costa Rica, automization initiatives and IT investments into digitalization. Finally, our effective tax rate is expected to be around 23%. Thank you very much. Operator, we are now ready to take questions.
Operator: [Operator Instructions] Our first question comes from the line of Martin Parkhoi of Danske Bank. Please go ahead. Your line is open.
MartinParkhoi: Thank you very much. And as said it's Martin Parkhoi, Danske Bank. A couple of questions; firstly, on the UK chronic business where you see this negative impact in the fourth quarter. How do you think that the waiting list for -- will be cope in UK? And when can we see normalization? Do you expect this to have a similar impact on growth in your chronic care business UK in the going to the first and second quarter of next financial year? And then just on the distribution cost in the third quarter which was somewhat lower than last year, how much is driven by natural cost savings from COVID-19 like less traveling and less promotional and how much is actually from prudent cost measures which also could have an impact going into next year? And then finally just on Argentina where there was again a significant impact in the third quarter and just for once could you let me know how much has emerging markets growth on 9% in the third quarter been boosted by this hyperinflation's impact on organic growth in Argentina?
KristianVillumsen: Thank you, Martin. This is Christian. Good questions. I'll start with UK and then Anders will talk to distribution costs and excited currencies. So at the high level like we said if we look at the new patient momentum in Europe, we're seeing normalization outside of UK. UK, we have seen a pronounced effect; it's the lockdown has been both severe and prolonged. We are noting with some optimism the communication that's come out of the NHS leadership over the last few weeks with very strong communication that's followed up with the significant investments to all of NHS to basically get rid of the waiting lists. We are also noting that they're allocating, at least the way we read the communication billions of pounds and they include a private sector capacity to get rid of this and to see improvement that should start to get real effect by end October and a return to pre-corona levels until at least March but of course that will depend on how effective they are, Martin. And we'll have to see that we of course follow that development very closely. Patient recruitment and initiation in UK has been improving, but we are following the government's action on a daily basis here. Anders you want to talk to distribution costs and currency?
AndersSkovgaard: Yes. So thanks Martin for the questions. So first of all, in terms of the distribution cost, yes, we saw a significantly reduction in our third quarter. It's a combination of the initiatives we basically started back in January, February, where we have been quite prudent on hiring of new employees. We have also been seeing a significant cost saving from a global travel ban, and we're not doing the same number of conferences, sales meetings as we are used to. So that is all-in-all contributing quite significantly to our distribution cost development. When that is said, we have continued a number of commercial initiatives that we actually started the year with, so we initiated a number of things in China in EM and also in the US and we continued with that also in our third quarter. In relation to your question around Argentina, yes, Argentina we have a quite significant impact on the organic growth from higher prices and inflation. But we also see a positive impact on our volumes. For the group, it's around 30 basis points impact from Argentina.
Operator: Our next question comes from the line of Annette Lykke of Handelsbanken. Please go ahead. Your line is open.
AnnetteLykke: Yes. Thank you for taking my questions. Just to follow up on the Martin's question back looking at the inflow of patients within a spinal surgery. This must be relating to fewer traffic accidents or can you postpone these and how do you see the trend? And then finally on intervention urology, in Q4, do you see any pent-up demand or should we see a risk of more postponements of these elective surgeries as well? And then finally could you say a little bit about China? You mentioned some investments you're doing here. What kind of investment should we see if any in China and the Wound and Skin Care market there or the wound care market? Thank you.
KristianVillumsen: Thanks. And I'll see if I took some notes here. I'll see if I remember everything. Let's -- we start with spinal and so you're right to remark that if you look at spinal cord injuries, people stay at home and don't drive the car, traffic accidents come down; you'll have fewer people who break their back. I will remind you that people also break their back when they climb a ladder, in the garden doing gardening work and things like that. So it's not just in cars, but that we have seen a reduction. We have seen a reduction there but we also see an inflow of patients from a number of different procedures. So people who go through surgery for enlarged prostate, urethral strictures and other things, bladder cancers things like that so there are other procedures that basically lead to a prescription of intermittent catheters. And we've also seen a decline on that side. So it's not just on the spinal cord side. On the interventional urology business, we've seen since the low point we've seen improvements month-over- month. We expect to get back to growth this month. I was with the team on video last night that's a -- there's a good pipeline. It's probably too early to say whether we're seeing a lot of pent-up demand, but we are seeing a broad-based pickup in North America particularly in men's health. We're also seeing southern Europe come back pretty strong and select emerging market. So we follow that development closely; I think as long as the COVID situation in North America remains, if you will, local outbreaks and no national lockdowns; we're going to see continued execution of surgeries. And then just to be -- just to clarify that your question on China, was that on wound care or --?
AnnetteLykke: Exactly. Yes, on wound care where you have I mean yes -- 
KristianVillumsen: So China wound care has been soft since the COVID outbreak and we are expecting that to persist through this quarter, and then gradually pick up as we move into next year. With this is basically from a decline in relative hospital procedures and it's also been some reluctance for patients to return to the hospital. We have continued to invest in China. We have also invested this year on the digital and consumer side. And I think that answers your question.
Operator: Our next question comes from the line of Niels Leth from Carnegie. Please go ahead. Your line is open.
NielsLeth: Good afternoon. So my first question would be about the change in your management structure. So will this change contain a change in growth priorities between your four business areas? And to what extent will this management change also come with an increased need for staff functions in your head office? My second question would be on the corona crisis and how this crisis has -- if this crisis has changed the need for your physical sales representation in various markets and to what extent that you would be able to grow your business with fewer feet on the street? Thank you.
KristianVillumsen: Thank you, Niels. Two great questions. When it comes to structure, this is definitely not something that means that we're going to staff up and spend more money in HQ. If anything -- this is the simplification of responsibility and I'm really trying to solve for two things, three to be more exact. The first one is to get a singular responsibility for innovation. And you've heard us talk a lot about the clinical performance program which requires us to not only build a product with technology that's able to do more clinically, we need to tie that together with a strong clinical package; and we need to convince payers that this is also worth a premium. So you basically need to tie together a number of elements and ensure that these are integrated together with the commercial package. We're simply setting ourselves up that there is one commercial leader at the end of the table to ensure that this integration happens. And we deliver a super strong package to the market. I also have a conviction that this is the type of work that's going to be required for the future. Conversely on the other hand, we're solving for singular responsibility for sales growth and building up and strengthening our capability on that side ensuring discipline on the quarter and the year. And the new structure basically reflects that you're going to see these themes elaborated upon extensively in our CMD particularly on the innovation side where we also aim to show you some of the technology and things that we are bringing to bear to drive growth. The third thing that we're solving for is more work on leadership and culture in the company. And so we are promoting Camilla Møhl to SVP for People and Culture as part of the ELT. And she'll join Nicolai Buhl Anderson as new members. Paul Marcun will run the growth function and the rest of the lineup very well. To your second question, Niels, on corona and what impact it has on our -- if I may call it this our commercial model and ability to drive demand with front line. I think that question is very pertinent. The challenge is this differs quite significantly by market. So if I look at China right now, the team is back; we're meeting customers, productivity levels are getting close to what we saw before COVID-19. We're seeing that also broadly happening in Asia. If I look to Europe, it's a bit of a mixed bag; our teams are back in Germany for example, and in a couple of other European markets whereas in the UK, we're grounded. And if I look to the U.S, chronic care business; our teams are still at home. So if anything for now we are investing to enable our people who are at home to engage with customers with digital tools. And of course, we're also thinking about what mix that we are going to have in terms of resources whether if you look into the future of whether we drive demand with salespeople all on the outside, if you will, and maybe some of them will work more from the inside. But a firm conclusion of that is I think it's still too early to form, but we are working on enable them, enabling them to be effective right now.
Operator: Our next question comes from the line of Alex Gibson at Morgan Stanley. Please go ahead. Your line is open.
AlexGibson: Hi. Thank you for taking the questions. I have two; the first one is just regarding the UK chronic care weakness you're seeing. And given that we're now in mid-August could you give us a bit of an impact on the organic growth development in Q4 and into 2021, specifically can the weakness in the UK alone result in the lower growth for Ostomy and Continence in Q4 versus Q3? And could it also result in 2021organic growth being below your long term run rate of 7% to 9% in those two divisions because of the lag effect on new patient starts. And just some helpful guidance in the impact of the UK business there. And then my second question is on any cost savings you're making today due to changes in business practices. Can you quantify the amount of any cost savings which you believe could be sustained into the long term? And with these cost savings do you envisage that you would reinvest them or do you believe that you could run with structurally high margins? The cost savings I'm thinking of like whether it's travel, office space, sales force; you partly alluded to it but I was hoping you could provide some more detail on the quantity of those potential cost savings. Thank you.
KristianVillumsen: Thank you. Good question, so the dynamics are a bit tricky. So you have to remember that the chronic care business structurally is made up mostly of demand that's already in community, right. So around 10% of the patient base is renewed every year on the Ostomy side and it's around 5% on the Continence side; the rest is basically demand that is in community. So there's robustness to the demand that we don't expect will change as a result of COVID. If I look to UK specifically, we are looking into a Q4 where we expect chronic care to be flattish and the return to growth and this is my commentaries for UK, the return to growth really will be dependent on I think the NHS' ability to basically get rid of the backlog. Now the way we assess the situation is that the effort is serious. That real capital is being allocated to get rid of the backlog and the NHS has also set targets for when they want to get back to something that's close to normal but that is going to extend into next year. And whether that's going to affect chronic care long-term growth rates, well, there are a number of moving parts for the chronic care business going into next year. That is not just UK and Europe, I think, remember we also have headwind this year in France from the French Healthcare Reform and we also have a China that for the since COVID or in particular in Q2 is subdued. So we are seeing effects back and forth but we'll be talking more about that as we issue guidance for next year later. I hope that's enough. Anders you want to talk to what we're doing on cost savings?
AndersSkovgaard: Yes. So thanks for the question. In terms of our cost development, as I said earlier, we have been quite prudent on costs since the corona outbreak that started back in January, February. We are focusing a lot on hiring and replacing open positions. We are focusing a lot on the sales marketing cost in general and then we have a global travel ban. So in terms of whether some of these will also continue, there's no doubt I think that we are not going to have the same level of traveling as we had before corona. We are going to see quite a significant cost reduction from that area alone. And that will continue into next year. We are not going to have the same number of sales and marketing events as we used to have. That will also be done digitally. We have seen it's actually working pretty okay. So I think there are some opportunities here that we can reduce our spending on and then of course we are looking into where we have growth opportunities; where do we have opportunities to grow. So that as you know, we are trying to invest into activities that will grow at the business and we are seeing those as well including innovation. But from a cost-saving point of view, I'm pretty sure that we are not going back to the levels we have seen before especially on travel and to a large extent also on sales and marketing events.
AlexGibson: Okay. Thanks. That's very helpful. And on that last point in terms of thinking about the drop through, would you reinvest any of those savings that you're making on the less sales and marketing events, travel costs or do you think that they would go straight back into doubling up efforts on clinical trials and growth opportunities? Just to understand, if there's actually margin upside here or not.
AndersSkovgaard: So now we have a new strategy that will come up. So we will present the new strategy end of September and here we will also talk to as Kristian mentioned earlier growth and innovation, but also how we see opportunities to grow into the next 2025 strategic period. And how we are going to allocate our funds that are something we will be talking further to when we have the strategy update end of September.
Operator: Our next question comes from the line of Kit Lee at Jefferies. Please go ahead. Your line is open.
NyeokLee: Thank you. I have two, please. The first question is just on your new product and clinical trials as part of the new strategy. I appreciate that you'll be giving the update later on but just do you expect the launches to be more back end loaded because of COVID or is that not the case? And then my second question is on the wound care performance in 3Q, just wondering what was the trend in the more chronic segments i.e. in wound care clinics? Was that also pretty negative as well or was that better than the hospital sales? 
KristianVillumsen: Thank you for those questions. Let me start with the question on new products and clinical trials; so the reality is that COVID has materially impacted our ability to recruit and conduct a trial on the Continence side. So we have -- we've seen some delay on that front. It's probably too early to say whether this is going to be something that will materially also delay the project. This is right now not on critical path for launch, but if the situation persists then it -- we have that risk on the Continence side. On the Ostomy side, we have things running now under if you will a COVID-19 virtual protocol. And we'll see whether we're able to fully conclude that whether that works effectively, but the COVID has definitely increased that uncertainty unfortunately. On wound care, was the question for Europe only, that's how I heard it? We've definitely seen demand to be more resilient in community than it is in acute. As you heard from the commentary, we have more of an acute business in France. So therefore we've also seen more of a slowdown in France than elsewhere in Europe. But we have seen a level of slowdown also in community, but between the two clearly acute has been the hardest hit.
Operator: Our next question comes from the line of Veronika Dubajova of Goldman Sachs. Please go ahead. Your line is open.
VeronikaDubajova: Excellent. Good afternoon and thank you gentlemen for taking my questions. I have three, please. One; I just want to kind of follow up a little bit on the previous question that Kit had asked around the wound care. And trying to understand what it is that has changed versus where we were a quarter ago. I appreciate China has been slow to recover but I think you've talked about that pretty extensively. Is it that the magnitude of the headwind in the acute setting is greater? Is it that you think the recovery will take longer? Exactly what is it that's kind of driving you to the lower end of the guidance? I'd just be helpful to get a little bit more precision and I guess related to that how do you think about that lasting beyond the end of the fiscal year as far as wound care is concerned? And then I had a quick follow-up on the UK and just your degree of confidence that the softness you're seeing is broader market driven as opposed to anything that would be Coloplast specific and if you have an update on the competitive environment here given some of the historical issues in this business that would be helpful. Thank you.
KristianVillumsen: I counted that as two questions, Veronika. You said, I thought you had three. So one on wound care and one on UK.
VeronikaDubajova: Wound had really two parts right, what's changing, how do you think -- 
KristianVillumsen: Okay. Let me see if I cut -- let me just see if I cover all the bases and then you ask a follow-up, if I don't. So on wound care, I think, we can say the headwind on acute was maybe a bit stronger than we had anticipated. We definitely also had a headwind on skin in the US; we're seeing that come back and then the consumer business which is the contract manufacturing business has of course also been affected that these three in combination is basically what leads us to where we are. On the positive side, we got our new fiber product launched and it's been very positively received and our teams are upping their forecast based on customer feedback. So we'll see how this plays into next year.  On UK, this is overwhelmingly environment. So this has been a super tricky operating environment. It is of course also a very competitive market. We've had over the past 12-months product launches also from some of the local players. So it's definitely also a competitive environment, but the slowdown is overwhelmingly the environment.
VeronikaDubajova: And, Kristian, your thoughts on wound for 2021? I guess the reason I'm asking is your competitors in this space I think have been somewhat more cautious on the pace of recovery here. I'm kind of curious how you're thinking about it? When does the wound care business normalize not just in China but on a global basis?
KristianVillumsen: Right. So if I look at where -- the way we're looking at things for US now if things are improving, we're expecting that improving trying to continue in the next year. I will see there's also going to be a positive effect from Biatain Fiber particularly in Europe. We are seeing the wound care trend in Europe looking significantly better and we're expecting to come back to growth here in Q4 and then to me the big question mark is how pronounced things are going to be on China. And we've got it all along that Q4 we would see, if you will, the end of the trough and we're still expecting that, but China being China; I also want to see how Q1 picks up. So with us it is a bit of a geographically mixed bag, but what I'm saying to the team, Veronika, is they have a great baseline to work with.
Operator: Our next question comes from the line of Kate Kalashnikova of Citi. Please go ahead. Your line is open. 
KateKalashnikova: Hello. Hi, Kristian, Anders. It's Kate Kalashnikova from Citi. I've got three questions. First on interventional urology, could you give us a bit more color on year-on-year procedural trends in July and August so far? I think you earlier said that you aim to get back to growth this month? Could you also comment on your expectations for next year? Now secondly on chronic care, could you quantify how much is the DKK 150 million for these impacts -- the benefit of Q2 has already resulted in Q3? And it's reasonable to assume roughly equally for Ostomy and Continence?
KristianVillumsen: Kate, I'm not hearing your second question. What's your -- could you repeat your second question, please.
KateKalashnikova: Sure. The second one is on chronic care. Could you quantify how much that DKK 150 from Q2 has resulted in Q3? And is it roughly equal to Brazilian, Australian Continent? And there must be one each for Anders on margin. In your margin guidance of 31% feels quite conservative given 31.2% margin the other day even with lower top line outlook. Would you just clarify is 31% is a margin floor given the guidance upgrade for margins and perhaps the guidance of around 31% could technically mean flat margin to 50 basis points margin expansion for the year or well if I should read it as 31% plus. Thanks.
KristianVillumsen: Thank you very much, Kate. On IU, so I'm reluctant to start forecasting the business into next year. We are I think through the worst on that knock on wood with what we've seen that we've seen this year. You saw the month-on-month numbers in print on the interim financial report. And like I said that we expect August to come back to growth and of course this year to the last two months to be big growth months. And as a trend moving into next year, we are going to be talking a lot about baseline next year given just the composition of sales this year. But there's a good pipeline of procedures lined up particularly in North America. We're also seeing a strong pickup in demand particularly in Southern Europe and in select places in emerging markets. On chronic care on the stocking effect of the 150 mil, the vast majority was reversed here in Q3 is our assessment. So if I were to give put a number to that, I'd say around 130 here in Q3 and the rest in Q4 with the uncertainties that have but just as illustration that the vast majority has already been reversed. And to your question of whether or how this is split, this is roughly 50:50 Ostomy and Continence. Anders, margin?
AndersSkovgaard: Yes. So in terms of your margin question, Kate, so as I mentioned earlier, I'm expecting that the margin guidance for the year will be in the upper end of the 31% and that's due to the fact that the gross margin, I still expect that the gross margin will be for the year flattish compared to last year. In terms of our cost development into our fourth quarter and we are going to increase our cost run rate from Q3 into Q4 because we have initiated a number of investments. We have started to close open positions especially in urology. What net-net we are expecting for the year the EBIT margin to be in the upper end of the around 31% EBIT margin guidance I gave earlier.
KateKalashnikova: Okay. So 31% is the floor.
AndersSkovgaard: It was, as I said earlier we are guiding around 31% EBIT margin guidance and I expect to be in the upper end of that. So above the 31.0.
Operator: Our next question comes from the line of angry Henrik Ingman of ABG. Please go ahead. Your line is open
UnidentifiedAnalyst: It's Hi. [Indiscernible] Thanks. Hi, thanks for taking my questions here towards the end. Just a quick ones, can you say a little more about the feedback you have had from the premiere to grow the account? You're saying you've started to convert some wins despite not being able to see people physically. And then secondly have you seen any relief of pressure on the wage inflation and in general on you can say the external need for workforce down in Hungary, and now as the COVID situation so overall? Thanks.
KristianVillumsen: Thank you. The first question on premiere, we've we started working with accounts that we already had lined up before the final contract. And I'm very happy to say that we've also seen the first conversions. The way we work with the front line is basically as a pipeline of commercial opportunities and the discussion that we have with the US team is watch the shape of the pipeline from initial discovery all the way through contract finalization to pull through. And the pipeline looks healthy and we've managed to find a way to do a virtual in-servicing and have gotten started. But I don't want to provide an impression that this is as good as having people back in the field full-time, it's not, but things are happening which is encouraging. When it comes to Hungary waging inflation, we are moderately optimistic that with the current environment the wage inflation numbers will come down, but we'll see how things pan out over the coming quarters but we're moderately optimistic that the pressure is -- the top of the pressure is going to be taken off.
UnidentifiedAnalyst: And you still have the same amount of Ukrainians working for you down there right now.
KristianVillumsen: Yes more or less.
KristianVillumsen: I want to say we have time for one more question and then we'll have to terminate the call. We're moving on to our next meeting.
Operator: Our final question comes from the line of David Adlington with JP Morgan. Please go ahead. Your line is open.
DavidAdlington: Hey, guys. Thanks for the question. Most have been answered but just maybe one final one on pricing. We've seen some companies start to talk about potential increased pricing pressure as we come through the other side of COVID. Just wondered if you're seeing any early indications of that either by geography or by business line? Thanks.
AndersSkovgaard: Yes. So thanks for that question, David. As you know, this year we have been quite significantly impacted by the health care reform in France. And also a little bit in some other European markets. With the knowledge we have today, we don't see any big reforms coming up into next financial year. So at least that is going to have a positive impact compared to 2019/20 with the knowledge we have today.
Kristian Villumsen: With that, ladies and gentlemen, we're concluding today's call. Thank you for participating. And we look forward to seeing many of you either live or on video calls over the coming weeks. Take care.